Operator: Good morning, everyone. Thank you for holding. And welcome to America’s Car-Mart Second Quarter 2016 Conference Call. The topic of this call will be the earnings and operating results for the Company’s fiscal second quarter 2016. Before we begin, I would like to remind everyone that this call is being recorded and will be available for replay for the next 30 days. The dial-in number and access information are included in last night’s press release, which can be found on America’s Car-Mart’s website at www.car-mart.com. As all of you know, some of management’s comments today may include forward-looking statements, which inherently involve risks and uncertainties that could cause actual results to differ materially from management’s present view. The statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The Company cannot guarantee the accuracy of any forecast or estimates, nor does it undertake any obligation to update such forward-looking statements. For more information regarding forward-looking information, please see Item 1 of Part 1 of the Company’s Annual Report on Form 10-K for the fiscal year ended April 30, 2015 and its current and quarterly reports furnished to or filed with the Securities and Exchange Commission on Forms 8-K and 10-Q. Participating on the call this morning are Hank Henderson, the Company’s Chief Executive Officer and President; and Jeff Williams, Chief Financial Officer. And now, I’d like to turn the call over to the company’s Chief Executive Officer, Hank Henderson.
Hank Henderson: Good morning, everyone. Appreciate you joining us today. As you saw in our press release, credit losses came in higher than anticipated for the quarter and therefore the need for the increase to our allowance for credit losses to 25%. We did see some improvement in losses for the latter half of the quarter, which does make us optimistic for the second half of the year. But clearly with the level of competition due to the various aggressive financing available at this time, the lower delinquency levels have not translated as directly to lower loss levels as we’ve typically seen in past years. We said before that this financing out there has been putting a squeeze on us by competing for upper tier customer, the reality for this past year as we’ve seen has become increasingly more aggressive to the point of going after even our core customer, which has impacted our lost rates and of course added more pressure to sales as well. All of our lack of sales growth for this most recent quarter is not however all attributed to competition, some of that was self imposed. We moved forward during the quarter with some very significant initiatives on underwriting and inventory that we knew would have some short-term adverse effect on results but were necessary to curtail rising loss rates and to assure better future results. We also chose not to run as aggressive our promotional campaign in October, as we have in the past few years. And while it would have resulted in more sales, may not necessarily have resulted in better quality sales, which is our big focal point right now. It would have made results look better for the short-term but that is not our primary objective. One of the challenges in our business is the reward for doing the right thing today doesn’t show up till some time down the road. In this past quarter, we’ve revised our purchasing guidelines and implemented more stringent quality expectations on our inventory which did actually result in the wholesaling of some vehicles that would have otherwise been retailed. While this did impact results negatively for this immediate, as Jeff will give more detail on in a moment, we believe it was right move to assure the quality of our portfolio, going forward. Also in September, we rolled out our updated scorecard along with some other new underwriting processes and more advanced screening tools. And this provides increased scrutiny over deals by our underwriting department. And this increased screening and review realistically cost us a few hundred sales. But again, these are initiatives that we believe strongly to be the responsible moves necessary to assure our long term success. We are as excited and as optimistic as ever about the future growth of our Company, and we have been through challenging times before, and understand that sometimes we have to make adjustments that can be a bit painful in the short-term to stay on track for our long-term goals. So, I’ll go ahead and turn it over to Jeff, to give you more detail on our recent results.
Jeff Williams: Thank you, Hank. Total revenues, basically flat at $133 million, same store revenues were down 3.4%, revenues from stores in the 10-plus-year category was down 6.8%, stores in the 5 to 10-year category was down 9.3%, revenues for stores in the less than five-year category was up about 14% to $34 million. The overall average retail units sold per month per lot for the quarter was 25.3 that’s down 14.5% from 29.6 for the second quarter of last year and down from 28.9 sequentially. At the end of the quarter, 46 or 32% of our dealerships were from zero to five years old; 25 or 17% with five to 10 years old with the remaining 74 dealerships being 10 years old or older. Our 10-plus-year lots produced 27.1 units sold per month per lot for the quarter and that compares to 31.2 for the prior year quarter. And lots in the five to 10-year category produced 24.5 that compares to 29.9 in lots in the less than five-year age bucket had productivity of 22.4 compared to 26.5 for the second quarter of last year. The average retail selling price was 757 -- an increase of $757 or about 8% compared to the prior year and it increased about $282 or 2.8% sequentially. The increase from the prior year relates mostly to the effective our 12-month service contract and the increase of the pricing of our payment protection plan product and to a lesser extent increase in overall selling prices for the quarter. The increase sequentially relates primarily to an increase in overall selling prices. And so, we are trying to improve the quality of our vehicles and to a lesser extent, to the increase due to the effect of the price increases on our add-on products. We remain hopeful that decreasing wholesale prices paying for them in the short-term for credit losses may give us an opportunity to buy a better car that’s more affordable. We do currently anticipate some increasing overall sales prices as we move forward, as we work to improve the quality of our offering but at the same time, try to keep the payments affordable. Our down payment percentage was relatively flat at 6.4% compared to 6.7% last year. Collections as a percentage of average finance receivables was 13.7% compared to 14.1%. Our average initial contract term was up to 28.4 months compared to 27.5 months; it was up slightly from the first quarter’s 28.2 months. We remain very aware of the downsides with longer terms but we are continually trying to balance the terms against the competitive landscape. Our weighted average contract term for the entire portfolio including modifications was 30.6 months which was up from 29.6 months at this time last year, and up from 30.4 months sequentially. The weighted average age of the portfolio was 8.5 months at the end of the current quarter compared to 8.4 months at this time last year. Due to the increasing selling prices and for competitive reasons, our term lengths may continue to increase sum into future, but we’re committed to minimizing any increases. We continue to fight the battle on keeping our terms down and continue try to educate our customers on the benefits of our product offering compared to those offerings with longer terms. Interest income was up $1 million for the quarter due to the $24 million increase in average finance receivables. And our weighted average interest rate for our receivables is 14.9%, which is flat with this time last year. For the quarter, our gross profit margin percentage was 39.2% of sales, that’s down from 41.2% sequentially and down from 42.9% for the prior year quarter. The decrease sequentially relates to higher wholesale volumes and losses, and about a 100 basis-point in higher expense levels, some of which related to wholesales and some of which related to inventory improvements that were necessary, that was another 100 basis points, as inventory levels were brought down to address some quality issues and some inconsistencies between dealerships. Also a higher selling price carries a lower gross margin percentage and the challenges that we saw at the top-line also had a negative effect on overall gross profit margins for the quarter. We will continue to work hard at reducing vehicle related expenditures, but the high level of repossession activity is continuing to have a negative effect on margins as the number of cars, we have to handle and process, has increased. We expect gross margin percentages to remain under pressure over the near-term, but we are expecting improvements over recent results. For the quarter, SG&A as a percentage of sales was 18.9% compared to 17.3%. The $1.6 million increase in overall SG&A dollars related primarily to higher payroll costs and other incremental costs related to the growth in the average number of stores by eight and the growth of our younger dealerships and some infrastructure costs to support the growth. We did see a reduction of about $900,000 in SG&A expenses sequentially. We are aggressively managing our expenses and we continue to expect some longer term SG&A leveraging over time, as we grow our revenues. For the quarter, net charge-offs, as a percentage of average finance receivables was 7.8% that’s up from 7% for the prior year quarter and flat with the first quarter, sequentially. The increase for the quarter related about equally to a higher frequency losses and increase in severity. The higher severity of losses resulted from lower wholesales values at repo. Our wholesale value recovery rates continue to come under pressure. Our recovery rates continue to be around 25% that’s below what we saw the low point back in 2010. The increase from the prior year period and the smaller increase sequentially were concentrated in the dealerships in the 10-plus-year category as competitive pressures, both at the point of sale and at default point, continue to be very high, especially in our more established markets, but we continue to believe that our operational performance is below where it should be. Principal collections as a percentage of average finance receivables for the quarter was 13.7%, that’s down from 14.1% for the prior year quarter. And the decrease in the percentage of principal collected between periods results from the longer average contract term, which was up about a month offset by lower delinquencies and a slightly higher level of early pay-offs. On a positive note, the average percentage of AR current for the quarter was 82.5% that’s up from 80.5% and our accounts over 30 days past due was at 3.5% compared to 4.4% at this time last year and 3.8% at the beginning of the year. Obviously, we had anticipated that lower delinquencies would translate into lower losses by now and we do expect that to be the case, as we move forward. Efforts are underway to ensure that we are saving as many accounts as possible and working with our customers to get them back on track. Unfortunately, when a competitive landscape is intense, it makes it much harder to save accounts, but we can and must do better. Also delinquencies in our 3 to 29-day past due bucket was 11.1% at the end of the quarter, compared to 15.3% at the end of April and compared to 12.6% at the end of October. Credit losses on the income statement, excluding a reserve increase was 28.3% that compares the 26.3% for the prior year, and again the increase was concentrated in our 10-year plus older dealerships. We are disappointed with our credit results and will stay focused on cash on cash returns, and lowering loss levels across all dealerships. As mentioned in the press release, we are at a point where the infrastructure investments we have made over the last several years are in place and are functioning well, and we’re in a good position to leverage these costs as we move forward. We have literally spent tens of millions of dollars in the areas of IT, compliance, training including our management training program, the centralization of non-core level functions, GPS technology, HR support, credit reporting, it’s time to see the benefits from these investments. And we certainly have to see the top-line improvements together with better credit results. We will continue with our good solid expense management and helping as many customers as possible, succeed. Current bottom-line results are certainly not where we’d like them to be, but we would like to highlight the fact that over the last 12 months, we’ve opened nine dealerships, repurchased about $14 million [ph] of our common stock, completed the infrastructure investments that we’ve discussed, grown our receivables by about $16 million and actually paid down $2.1 million in debt for the last 12 months. So, it is time for us to produce some better bottom line results but our focus on cash flows and cash on cash returns is allowing us to be very healthy in a hypercompetitive market and poised to take advantage of opportunities. At the end of October, our total debt was a $104 million. We actually paid down a $1 million of debt during the quarter. We repurchased almost 44,000 shares of our common stock for $1.7 million. Our current debt to equity ratio is 45.3% and our debt to finance receivables ratio is 24.4%. We had $38 million in additional availability under our revolving credit facilities at the end of the quarter. And one final note, as we’ve discussed previously, we are a larger participant and we are subject to CFPB supervisory authority for non-bank auto finance companies. The CFPB has notified us that they will conduct a supervisory review beginning in January, the purpose of which is to assess our compliance management system. They’ve indicated that they expect their review to conclude with an exit interview by the end of February. Now, I’ll turn it over to Hank.
Hank Henderson: Thanks, Jeff. As Jeff just explained, our cash flows remained strong and our balance sheet is solid as ever. Just during this first half of the year, we’ve grown our receivables over $10 million and have added of about 1,300 active customers which equates to significant growth in cash flows going forward. So, in those regards, we are continuing to head in the right direction. Also, we’ve added five new stores so far this fiscal, three of which came on line just in this most recent quarter, Rolla, Missouri; Brunswick, Georgia; and Macon, Georgia. And then we also have Burlington, Iowa opened in November just this month, and Burlington is our first location in Iowa which now puts us in 11 states. Our new stores are doing well, getting off great starts. Nevertheless, we’ll likely not be as aggressive through the remainder of the year on store openings as we have for the past couple of years, so, I’ll turn more of our resources’ support and focus to some of our older more mature stores and which is where we’re seeing the bulk of the negative impact from the changing environment. Many of those have experienced the decline in sales of as many as four or five per month which does add up significantly and especially when coupled with some increases in loss levels. And we need to make some adjustments and provide better support there to make up for as much of that as possible, both front and the near term. And with sort of these adjustments, we do expect to see some top line growth for the last two quarters, this year. So, that concludes our prepared remarks. We would like to now move onto your questions. So, operator?
Operator: Thank you. At this time, the speakers will now answer questions from the callers. I’d like to reiterate that my earlier comments regarding forward-looking statements apply to both the speakers’ prepared remarks and anything that may come up during Q&A. [Operator Instructions] And our first question comes from David Scharf of JMP Securities. Your line is now open.
David Scharf: I guess, like to get a little better sense of just perhaps strategically how you’re thinking about your end-market and how you define your core borrower and maybe the near-term strategy, and specifically related to your comments that seems like some indirect subprime lenders are competing even deeper down the credit spectrum going after more of your core borrowers. It looks like part of the response from your recent metrics is a little higher average selling price, little lower down payment, a little longer term. And obviously, those are all necessary to retain those customers, but they present challenges. Can you talk a little bit about how you’re viewing those tradeoffs near-term?
Unidentified Company Representative: Yes, I think so. Obviously, we’re never going to -- we’re never going to be completely competitive with this type of offering on terms and that sort of things that are out there. And I do have to tell you that part of what we do with the number of stores we have is, we learn a lot from our general managers too. And we do have some out there that -- everyone’s had to make adjustments and some of these guys are figured it out. We have one particular store in Central Arkansas, surprisingly it’s on pace to have the biggest year we’ve ever had. So, when we were say our older stores have gotten hit, most of them have, but not all. And one of the big things we see is that we believe we do have to make some adjustments for the inventory and we talked about that. And we feel like that’s going to have a lot to do with our ability to gain some new customers. One good thing that occurred in this recent quarter, didn’t mention in the earlier remarks, to try to help bit understanding on this is, we actually saw our sales to repeat business extremely high and particularly in this past month, even we weren’t as aggressive going after the new business, as we said when we were struggling with our credit losses, we feel to get little more conservative and retrench a bit as we have. But as we have done a good job retaining our good customers, so we actually look a bit repeat business as a percentage of overall sales, it was very high. So, I think we are learning how to do a better job there. But I think it will -- we’ve had to give up a little bit on term, might be a little bit more we have to do there, be a little more competitive, but also think just to offer it, but the quality of our inventory has a lot to do with it as well.
David Scharf: Got it. And then, maybe more of a sort of general macro question. Based on everything you’re seeing in payment patterns and the like, at this point, would you characterize the increased loss rates and challenges as being entirely related to increased competition, or are you seeing anything out there in terms of broad based consumer stress in your markets?
Hank Henderson: When we look at the macro issue, certainly the competition has the biggest effect where I don’t think we necessarily have any areas depressed in that regard. But I would tell you that and Jeff mentioned it somewhat earlier, some of this rise in our credit losses, while we feel like the bulk of it was related to competition, we did have some operational issues on the field resource that were significant and have heard us that we don’t really feel like it had to do with other areas other than we had some for management of those stores, just to tell like it is. So, yes, the bulk of it I think is somewhat of a short decline, and I think is the right word, for lack of a better way to say it. But right now the people have a little pressure of paying bill, and there is someone right down the street trying to sell them a new car, and they can have repossession and still get one somewhere else; that’s not the way this business is supposed to work and that’s what we’re kind of up against right now.
David Scharf: And then lastly, you mentioned the losses were concentrated in your oldest units or those that are 10 years and older. When we look at just same store sales, is there a percentage of your units that actually experienced year-over-year increase in monthly volumes?
Jeff Williams: Yes, a few did. It was pretty much across the board decrease but we did have a few that did show some increases for the quarter.
Operator: Thank you. And our next question comes from J.R. Bizzell of Stephens. Your line is now open.
J.R. Bizzell: Thanks for taking my questions. Hank or -- I guess building on that CFPB commentthat Jeff made, I amjust wondering if you can add a little more color there, any other piece of information that you received from them to kind of prepare for what they are going to be looking at or what they are need from you all, as they come in on January 1st?
Hank Henderson: I think we’re well prepared. We had -- we started a few years ago building up our compliance department. We brought in someone to hit that up. Again, a few years ago, we invested heavily in it; developed the staff; I think we’ve taken it very, very seriously at all levels. And I think we’ve developed an excellent compliance management program. All of a various training that goes along with that has been integrated into our training systems or video systems so forth. So, we feel good about this.
Jeff Williams: And there is a supervisory review which has been expected and it is specific to assessing our compliance management system. Now, we’ve rolled that out and now we monitor our compliance. And as Hank said, this is something we’ve been working on for quite some time.
J.R. Bizzell: Thanks for the color there. I guess switching gears, could you kind of go into a little more depth around kind of the inventory issues that you kind of referenced in the release and talked to earlier in the prepared remarks? And then, kind of what you all did to address that and what you’re doing to address that moving forward?
Hank Henderson: It’s a quality issue and really to putting hands on it, I think one of the -- we’ve seen a rise in overtime, in the number of repairs that we’re having to do to our vehicles before, getting the front line ready so to speak. And that in general is a reflection of the selectiveness of how selective we’re being. And these are somewhat growing pains too; as we grow, we try to get a little bit more sophisticated in how we benchmark, what we’re purchasing against book values and all that sort of thing, but to make sure that we’re not spending too much. But I think even as you do that, there is a lot that goes unaccounted for in those systems. And so what we have developed and we really didn’t have it before, and it will be a work in progress. This is due to us. But we have really good visibility on the quality of our sales with the terms we’ve put out there; we have better visibility than ever with the quality of the customer or updated scorecard and all that. But one critical component of credit losses and just the health of your business too, is just the quality of that car, grading that car, these A cars that what we expect to sale. And so, while we’ve increased our visibility the past few years on those things, it’s still hard to see what’s on paper to know the quality of what you have out there. So, we have a device, a system whereby we have grouped it, inspecting number of vehicles at every store, each quarter and giving us feedback with a grade. And in fact grade is at a certain level that means we’re going to go in and there maybe some vehicles wholesale that certainly be retraining, and some help and support given to those. But I think that over time, this is going to help our business significantly, both on the sales side, I think we’re going to have better cars in general and for the longer term, I think it will greatly help our credit losses as well.
J.R. Bizzell: And then, maybe pointed towards you, Jeff, on this one, can you kind of speak to recoveries; what you saw? I know you spoke to that in the release, and just wondering how you’re thinking about recoveries moving forward and maybe the used car price factor as we move into next year.
Jeff Williams: Well, we are not anticipating any improvement on recovery rates. And that was part of the equation to raise the reserve. It’s -- don’t see it getting any better over the short-term or even the mid-term. There is just a lot of cars out there, especially the low end car that still runs but it’s really rough. So, we don’t expect any relief there. And so, maybe somewhere around 25% recovery rate is just where it is for a while. And it’s what we’re playing.
Operator: Thank you. And the next question comes from John Rowan of Janney. Your line is now open.
John Rowan: Sorry, beating on a dead horse, but recovery rates. Is the lower recovery rate, would you say it’s more a function of longer duration in the portfolio or weak values in the wholesale ins?
Jeff Williams: So, it’s mostly just the weak values. And of course the longer term doesn’t help any but it’s more a function of just the weak wholesale values at that low end.
John Rowan: And as far as you said also that frequency is up, is there any defining factor regarding the consumer that’s defaulting more frequently? We’ve heard some anecdotal evidence that it’s a sub-550 FICO consumer who is defaulting quite a bit more frequently. I was curious if that’s what your experience is?
Jeff Williams: Our customer, only about half of them have a FICO and that FICO average is about 500. So, it’s a customer that certainly needs what we do. And the frequency of loss is not so much anything changed drastically in their lives; it’s just excess competition. And if you have a stumble or if we try to collect, and they’ve got so many different options right now and it certainly seems like that has not gotten any better in the recent couple of quarters. But the customer has not changed much in the last couple of years; it’s just the environment that we’re having to deal in.
John Rowan: And then, I know you guys mentioned the maintenance that you’re putting into the vehicles after you purchased and getting ready for the lot. I was curious, however, if some of the maintenance, the increased maintenance cost that you guys cited had anything to do with longer contract terms, longer service terms?
Hank Henderson: No, not necessarily. We have a certain level of expectation that we’re going to have before we’re going to sell that vehicle, and I wouldn’t say that it has longer terms impact to that.
John Rowan: No, I meant the service contracts, right, then you’re going out longer on those service contracts; that’s what I was getting at.
Jeff Williams: Of course we adjusted the pricing on that product too. So, the gross margin we’re earning on the service contracts is pretty similar to what it was, no negative effect there.
John Rowan: And then, just maybe lastly, you mentioned that repos were higher and just ballpark, what type of percent year-over-year increase are we talking about as far as the repo rate? Because some of that credit reporting bureaus actually stopped putting that data out. So I want to get somewhat of a more realistic understanding of how much more repos we’re seeing.
Jeff Williams: We just did in a number of cars. We put back about 300 more cars during the quarter than the prior year.
John Rowan: And on a percentage basis, what would that be, year-over-year?
Jeff Williams: 5%, maybe.
Operator: Thank you. And our next question comes from John Hecht of Jefferies. Your line is now open.
John Hecht: Yes, thanks. You guys talked about, there is some attribution of weaker than expected sales to competition as well as to just control in the quality sales, so just kind of two factors there. I wonder, how much would you attribute for the one versus the other in terms of just pulling back on what you would with your quality sales versus losing sales to comp?
Hank Henderson: John, I’m sorry. We lost you for a little bit on the first part of your question. I’m going to have to ask you to say that again please.
John Hecht: Sure, I’m sorry. Yes. The question is, there is two factors that are inhibiting sales. It seems that one of it is losing opportunity to competition; and the second is you’re actually, to control credit quality, you’re over inching yourself for a higher quality sales. How much of the weakness is one versus the other?
Hank Henderson: For this past quarter, I would have to say it was about half of it, self imposed. We didn’t write down the month entirely, but September was extraordinarily weak on the sales side. And so certainly I wouldn’t attribute all the shortfall in September, and oddly this is not the first time we’ve had such a weak September; that has been a week month before. But overall, I guess just talking about this most recent quarter, I think it’s pretty easy for us to attribute it, late half of the shortfall to some of the things that we did.
John Hecht: And so, just kind of thinking about the next few quarters, to extent that you’re going to sustain that quality improvement drag going forward, just from a comparative basis, we expect that should persist for the store, same store sale metrics for at least a few more quarters or might that reverse out in the near term?
Hank Henderson: I think it will reverse out, as we make these adjustments. And as I said, and I think we have our side set on things some top line growth over these next couple of quarters. And to be specific, when we got a number over older stores, their average these past couple of quarters has been four, five down which we’ve been accustomed to. When you break it down to store-by-store level, it’s not so overwhelming that we do feel like that there are some things we can do; some of it with better, more effective promotion, sales training, improved inventory and that’s why we say we want to put some better focus back on some of these older stores. Because we do have quite a bit of opportunity to recover since some sales, if you go there. And, we feel like that we can do that.
John Hecht: And final question is, I guess you’re starting to prepare for the big selling season as we get your tax refund and stuff. How do you feel about your inventory? And given, I guess the weekend wholesale prices, does that give you more opportunity -- and I know you did comment on this but maybe a little bit more color on, does that give you the ability to stock a better car at lower price in preparation for the upcoming selling season, I guess in the context of also kind of improve the last issues and so forth?
Hank Henderson: For the car that we’re competing with, we never see any real relief, particularly this time of year. But we do have a large purchasing team; a good number is out there. And so, we certainly have the ability to ramp up our inventory. I would tell you that while the initiative that was started in this past quarter was a good start, but we’re not there yet. So, we guys do have the work cut out forum, because we’re looking to increase some inventory levels as we get into the tax time, at the same time, we’re looking to increase quality. So make it a little bit harder, but we do feel like that we can do that. I mean currently we do have a plenty of cars in inventory, so we’re not short.
Operator: Thank you. [Operator Instructions] And our next question comes from Bill Armstrong of CL King & Associates. Your line is open.
Bill Armstrong: So, I mean you had a $757 year-over-year increase in the ASP. I mean to what extent do you think maybe you’re perhaps pricing some of your customers out of the market just because may be these vehicles are a little bit less affordable?
Hank Henderson: I don’t think the change we’ve been through recently has really pushed more out. As I think as we said, over a year ago, for us, it always helps to have a good range available, a good mix across the spectrum, so we can service any customer that might come up. But I don’t think that what we’ve seen recently, and as Jeff had mentioned about how much of this increase is attributable to the service contract, which gives more protection anyway. So, I don’t think that any recent change we have has really any impact on that...
Jeff Williams: Yes, the payment, the one month term extension has allowed that payment to stay about where it was. So affordability for our customers is about where it was a year, a year and half or two years ago.
Bill Armstrong: And, with the subprime financing competition really sort of concentrated mostly in the upper tier of your customer base, would it make more sense for you to maybe start moving down in the price point range, maybe older higher mileage cars in you’ve been rather than kind of maybe to avoid that some of that competition?
Hank Henderson: Really beginning about a year ago, we did do some of that, some more offering, this was to say we’re trying to work a little harder to make sure that all of our stores have a better -- broader spectrum of the price range, which we have done that. It doesn’t necessarily show entirely in the averages because we do sale some of our -- still have some of our par dollar sales, as we call them. So, we have done some of that. I think the reality now that as we don’t really have room that we want to go down further in that, there’s a level where it helps and certainly the lower end vehicles are right for cash flow and good starter vehicles and all that. But in order to maintain the kind of sales levels that we do, we really need to have an offering across the spectrum, and again with better inventory being a little more selective, not that it’s a radical change but just making sure that we are setting out any less desirable vehicles out there. And that all works together, and we can do that at all the levels.
Bill Armstrong: And, just in your opening remarks about gross margin, you indicated that they will remain pressured but they ought to improve over the current levels or the second quarter levels, what might drive some improvement in the near-term versus where they are now, what -- and what areas would you see some improvement you think?
Jeff Williams: Well, certainly, as Hank mentioned, we are seeing repo -- repos come down in total. So, we’re hoping to see a lower volume of wholesales, as we move forward, especially if the top line starts going the other way. So, that mathematically has a positive effect on gross margins. We are looking at expenses very, very hard, as Hank mentioned, and trying to minimize the expenses. And buying a little bit car allows you to not have as much tied up in expenses on those cars. And as we mentioned, in looking at the quality of the overall inventory by location, we ended up wholesaling off some cars that otherwise would have been retailed during the quarter. We still have some of that to do, but we’ve taken care of the portion of that problem. So, all those factors contribute to us thinking we’re going to see some improvement there, as we move forward.
Hank Henderson: And I’ve mentioned too along with the benefits with better inventory could also equate to better residual values of future as well.
Bill Armstrong: And kind of mixing all that together then, I mean it seems like it’s going to be difficult for you to drive positive same store sales in the near-term. Is that a fair conclusion or not necessarily?
Hank Henderson: No, not necessarily. As I said, I think that we’ve got some moves that we can make and that will get back some of those. And we certainly -- you’re aware we’ve opened a lot of stores in the past few years, so we do have such a good number of stores two and three years all that -- so there’s a lot of capacity there for year-to-year growth.
Jeff Williams: And if we -- kind of tired of saying this but if we ever get any relief at all on the competitive side, we’ve got a 75 dealerships that have been out there for over 10 years that could show some nice improvement but we’re not counting on that. Certainly haven’t seen any improvements on the competitive sides lately. And we’d love to think that happens at some point, but it’s gone on a lot longer than we thought it would.
Bill Armstrong: And then just a little last question, Hank, I think previously you guys were talking about opening 10 stores in this fiscal year.
Hank Henderson: Yes.
Bill Armstrong: And it sounds like you might slow that down a little bit, what -- modeling purposes.
Hank Henderson: Yes. I don’t have a specific number for you today, because we’re evaluating it. We do have another store in process in the works that will likely come on about January. But yes, we’re going to back off that a bit, I hope not for too long but for as it stands right now, that’s just something we’re going to revisit internally every month as we see where we are.
Operator: Thank you. And our next question comes from Joseph Allan, private investor. Your line is now open. [Operator Instructions] I am showing no further questions at this time. I’d like to turn the conference back over to Mr. Henderson for closing remarks.
Hank Henderson: Thank you very much. And again, thanks to everyone for being on here today. I think I’m going to reiterate what Jeff just said because I think it does sum it up pretty well. We are doing the right things to allow us to continue to grow and have some solid performance in this environment. I’d say sometimes we have to make some shorter term or painful adjustments, but we’re doing the right things that we can have solid performance now. And in such time, as we see some pull back from this aggressive financing that’s out there, we’re going to do extraordinarily well, allow these things that we’re doing as response to competition. And it is making us a better company and so I guess better at what we do. And so we hope that there is some relief out there someday soon, but even if there is not, I think that we have a good solid plan to continue to grow. So that’s it for us today. And hopefully, we’ll be talking to you guys in the future with some better results. So, thank you and have a great day.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program. And you may all disconnect. Have a great day everyone.